Operator: Good evening. And welcome to Dyadic International, Inc. Q3 2025 Conference Call. Currently, all participants are in a listen-only mode. Following management's prepared remarks, there will be a brief question and answer session. As a reminder, this conference call is being recorded today, November 12, 2025. I would now like to turn the call over to Ping Wang Rawson, Dyadic's Chief Financial Officer. Please go ahead.
Ping Wang Rawson: Thank you. Good evening, and welcome everyone to Dyadic International, Inc.'s Q3 2025 conference call. I hope you have had the opportunity to review Dyadic's press releases announcing financial results for the quarter ended September 30, 2025. You may access our release and Form 10-Q under the investor section of the company's website at dyadic.com. On today's call, our President and Chief Operating Officer, Joseph P. Hazelton, will give a review of our Q3 2025 business and corporate highlights and provide a commentary on the strategic direction of the business. Our CEO, Mark A. Emalfarb, will provide an update on our biopharmaceutical programs. And I will follow with a review of our financial results in more detail, after which we'll hold a brief question and answer session. At this time, I would like to inform you that certain commentary made in this conference call may be considered forward-looking statements, which involve risks and uncertainties and other factors that could cause Dyadic International, Inc.'s actual results, performance, scientific, or otherwise, or achievements to be materially different from those expressed or implied by these forward-looking statements. Dyadic International, Inc. expressly disclaims any duty to provide updates to its forward-looking statements, whether because of new information, future events, or otherwise. Participants are directed to the risk factors set forth in Dyadic International, Inc.'s report filed with the SEC. It is now my pleasure to pass the call to our President and COO, Joseph P. Hazelton. Joe?
Joseph P. Hazelton: Thanks, Ping, and thank you all for joining today. The third quarter was another pivotal quarter for Dyadic International, Inc., as we continued our transformation from a platform-centric R&D organization into a commercially focused biotechnology company with a growing portfolio of high-value products. At the start of the fourth quarter, we saw our first commercial bulk sale of a Dyadic protein, marking the beginning of a new chapter in our company's evolution. We expect momentum to build with additional product opportunities emerging in 2025 and accelerating in 2026 as we scale our portfolio and expand our global market reach. We've now rebranded as Dyadic Applied Biosolutions, launched a redesigned corporate website to enhance commercial engagement, and strengthened our technology foundation with the addition of CRISPR Cas9 gene editing capabilities through our license with ERS Genomics. This license allows us to accelerate strain optimization, improve productivity, and further increase yields of consistency across our proprietary C1 and DAPIVIS platforms, directly supporting commercialization and profitability. At this stage, Dyadic International, Inc. is no longer just a story about potential. It's a story about execution, commercial traction, and growing product revenue. As we move from transformation to execution, our progress in the life sciences segment highlights how Dyadic International, Inc. is now operating as a product company. We are manufacturing and supplying lab-grade material for multiple recombinant proteins, focusing our efforts on near-term product revenue from markets where the need for animal-free, high-performance materials is rapidly expanding. The cell culture media market represents one of the most dynamic growth areas in biotechnology, supporting biologic manufacturing, cell and gene therapy, and cultivated meat. These markets require consistent animal-free proteins that enable scalability and regulatory confidence while balancing costs. And our protein production platforms deliver on those needs. Our recombinant human albumin program in partnership with ProLiant Health and Biologics continues to advance to a commercial launch in early 2026. Albumin is a cornerstone protein used across diagnostics, research, and biomanufacturing for stabilizing and transporting biomolecules. Transitioning to recombinant production offers significant advantages in purity, safety, and supply chain reliability. We remain fully aligned with ProLiant as they prepare for market entry. To date, Dyadic International, Inc. has received a total of $1.5 million in milestone payments from ProLiant, including a third payment of $500,000 received in October. We expect to share in the profits as the albumin products enter the market. This collaboration exemplifies how our platforms enable partners to deliver high-value animal-free proteins at commercial scale. In October, we achieved an important milestone with the first bulk purchase order for a Dyadic-produced protein. Our recombinant fibroblast growth factor, or FGF, is now being sold into the cultured meat market, demonstrating our ability to deliver commercial-grade material at scale and validating the market readiness of our technology. Looking ahead, in addition to growth factors, our top product priorities are animal-free transferrin and DNase I, which are now in active manufacturing and sampling to prepare for commercial launch. Transferrin is a key functional protein in serum-free cell culture media responsible for delivering iron to support healthy cell growth and metabolism. Dyadic International, Inc. is producing both bovine and human recombinant transferrin to serve distinct market segments. Bovine transferrin is designed for cultivated meat and research markets where cost efficiency and scalability are key, while human transferrin is targeted for biopharmaceutical and cell and gene therapy applications, which demand higher specification and regulatory-grade consistency. Together, these two products position Dyadic International, Inc. to compete effectively across complementary ends of the market. Our FGF program continues to advance beyond the cultured meat segment as we target cell and gene therapy manufacturers and suppliers. FGFs are essential growth factors in cell culture formulations, driving cell proliferation and differentiation. We're now expanding sampling and validation activities with additional customers as interest continues to build as companies look for reliable animal-free sources. In molecular biology reagents, our RNase-free DNase I has completed production validation and entered sampling while we work to secure purchase orders. DNase I is a critical enzyme used in gene therapy, molecular diagnostics, and biopharmaceutical manufacturing to remove unwanted DNA without compromising RNA or protein integrity. Dyadic International, Inc.'s ability to supply DNase I in a high-purity, animal-free form directly supports the industry's move toward cleaner, more consistent inputs without increased costs. These products form a high-margin recurring revenue foundation serving critical and fast-growing life science applications. We're also advancing the development of T7 RNA polymerase and RNase inhibitor products to expand Dyadic International, Inc.'s position in the DNA and RNA enzyme market. To further expand our global commercial reach, we recently partnered with Intralink, a leading Asia-Pacific business development firm, to accelerate market penetration in Japan and South Korea, two of the world's fastest-growing and most advanced markets for cell culture media and molecular biology reagents. Being a lean US-based organization, we look to leverage local expertise and establish commercial networks to effectively reach these important markets without the need for significant internal infrastructure or capital investment. Intralink provides Dyadic International, Inc. with on-the-ground commercial resources and regional experience that allow us to engage manufacturers, distributors, and potential partners more directly and efficiently. Through this partnership, we are actively introducing our products such as transferrin, DNase I, and growth factors, as well as our platform technologies, to new customers in the Asian region, expanding Dyadic International, Inc.'s footprint across key global manufacturing hubs in a cost-effective manner. Building on our momentum in life sciences, Dyadic International, Inc. is also advancing its commercialization efforts in the food nutrition segment, another large fast-growing market where our technology is enabling the transition to animal-free sustainable protein production. The food nutrition market is undergoing a structural transformation as global food producers shift towards sustainable, functional, and animal-free proteins. This transition is driven by consumer preference, regulatory trends, and supply chain sustainability pressures, and it presents Dyadic International, Inc. with a major opportunity to apply its DAPIVIS platform to supply recombinant proteins and enzymes at scale. The animal-free dairy protein market alone is expected to exceed $20 billion by 2035, led by growing demand for precision-fermented proteins in infant formula, medical nutrition, and wellness applications. These markets require consistent, high-purity proteins that replicate the nutritional and functional properties of traditional dairy ingredients, areas where we believe that DAPIVIS may provide a competitive edge. Our recombinant alpha-lactalbumin program advanced meaningfully this quarter. We've entered a new term sheet with a non-animal dairy development partner focused on the infant nutrition market, and we anticipate additional agreements for our alpha-lactalbumin program in 2025. The protein has demonstrated strong performance in product testing and formulation trials, with sampling for research and nutritional applications expected by late 2025 or early 2026. Also in the third quarter, our human lactoferrin program continues to progress with production strain development and yield optimization underway. Lactoferrin is valued for its antimicrobial and immune-supporting properties and commands premium pricing in both nutritional and wellness markets. We expect sampling for research use in early 2026. In non-animal dairy enzymes, we received a $250,000 milestone payment from Enzymes in the third quarter, bringing total license and milestone revenue from this partnership to $1,275,000 to date. Scale-up for the first enzyme remains on track for commercial launch in late 2025 or early 2026, with a second enzyme candidate advancing towards commercialization under the existing license. Importantly, Dyadic International, Inc. is eligible to receive future royalty payments on commercialized products, creating a recurring revenue opportunity and further validating the commercial value of our technology and partnership model. As we expand our presence in food nutrition, we're also applying our technology to industrial biotechnology, where Dyadic International, Inc.'s enzyme expertise is addressing global demand for more sustainable, efficient, and bio-based manufacturing solutions. Dyadic International, Inc.'s bioindustrial segment continues to demonstrate the scalability, flexibility, and cross-sector relevance of our enzyme technology. Using our DAPIVIS platform, we're delivering enzyme solutions that replace petrochemical or animal-derived inputs and improve process efficiency across industrial and emerging bio-based markets. Our collaboration with Fermbox Bio on an enzyme cocktail that converts agricultural residues into fermentable sugars continues to advance and deliver results. Fermbox is a strategic partner for Dyadic International, Inc. with robust manufacturing capabilities across multiple quality grades, which allows us to serve a broader range of industrial and bio-based customers. Initial commercial deliveries have been completed, and sampling is expanding with additional customers in biomass processing, biofuels, and pulp and paper markets. Under this partnership, Dyadic International, Inc. participates in a 50/50 profit share on sales, creating a scalable and recurring revenue model as the adoption and portfolio grow, and we expect to begin seeing revenues in 2026. Our cellulosic enzyme technology is also being evaluated in regenerative medicine and tissue engineering through collaborations with pharmaceutical and device companies. These efforts demonstrate how Dyadic International, Inc.'s enzymes can contribute to the development of biomaterials for the rapidly growing market of tissue repair and regeneration, further underscoring the versatility and commercial reach of our technology beyond traditional industrial applications. In parallel with our commercial initiatives, we continue to advance a select group of partner-funded biopharmaceutical collaborations that extend the reach of our technology into vaccines and antibody production, providing valuable validation and non-dilutive funding while we stay focused on near-term product revenue. I'll now turn the call over to our CEO, Mark A. Emalfarb, to provide an update on our progress of these partner-funded collaborations. Mark?
Mark A. Emalfarb: Thanks, Joe. Our biopharmaceutical programs are accelerating and delivering meaningful advancements in vaccine and therapeutic protein development for both animal and human health. Through collaborations supported by the Gates Foundation, the Coalition for Epidemic Preparedness Innovations (CEPI), and our strategic partnership with Dr. Rina Rappuoli at the Fondazione Biotecnologie Comparate di Siena (FBS), as part of the €170 million EU vaccine hub, we're continuing to validate the power of our C1 protein production platform through non-dilutive funding. These efforts are generating strong data that demonstrates C1's ability to rapidly, efficiently, and affordably manufacture high-quality biologics, including vaccines, monoclonal antibodies, and other complex proteins with exceptional productivity and scalability. Our Gates Foundation program focused on developing low-cost monoclonal antibodies for malaria and RSV has achieved key milestones in both productivity and initial biological characterization when compared with the same antibody produced using traditional mammalian CHO production methods. To date, we've received $2.4 million of a $3 million grant. Under our CEPI-Fondazione Biotecnologie Siena collaboration, Dyadic International, Inc. is eligible for up to an additional $2.4 million in funding to support antigen design, cell line development, and cGMP manufacturing scale-up. This project has already begun to generate encouraging data, including the successful development of another C1-produced H5 influenza antigen by FBS. Initial results show that Dyadic International, Inc.'s H5 antigen reacts as expected with human monoclonal antibodies. In collaboration with FBS, we're preparing to provide H5 antigen samples for preclinical evaluation with the potential to advance into a funded Phase I trial. Other CEPI-supported programs, including the UVAX BioMERS vaccine and the Adaptec Consortium for Broad Spectrum Filovirus Vaccines, are expected to further reinforce C1's ability to deliver rapid, scalable, and cost-effective production solutions. Our collaboration with the process development unit at the NIAID/NIH continues to generate encouraging data that not only supports vaccine development but also enhances the productivity and consistency of our C1 platform. The insights and process improvements gained from this and other funded programs strengthen C1's broader capabilities, and these can be applied across both our biopharmaceutical and DAPIVIS non-pharmaceutical platforms. This cross-platform innovation drives future value creation and supports the potential for additional licensing and monetization opportunities in animal and human health. While our internal resources remain focused on generating near-term revenues through high-value non-therapeutic proteins, these externally funded biopharmaceutical programs provide valuable non-dilutive funding and global validation of our technology. With that, I'll now turn the call over to our Chief Financial Officer, Ping Wang Rawson, who will walk you through our third quarter 2025 financial results.
Ping Wang Rawson: Thank you, Mark. I will now go over our key financial results for the quarter ended September 30, 2025, in more detail. You can find additional information in our earnings press release and Form 10-Q, which we filed earlier today. Total revenue for the quarter ended September 30, 2025, decreased to $1,165,000 compared to $1,958,000 for the same period a year ago. The decrease was due to decreases in research and development revenue of $183,000 and license and milestone revenue of $1,425,000 from the ProLiant agreement and Enzyme agreement in 2024. The decrease is offset by an increase in grant revenue of $815,000 from the Gates Foundation and the CEPI grants in 2025. Cost of research and development revenue and cost of grant revenue for the quarter ended September 30, 2025, decreased to $2,255,000 compared to $396,000 for the same period a year ago. For the quarter ended September 30, 2025, cost of grant revenue from the Gates Foundation and the CEPI grants was $769,000 compared to zero for the same period a year ago. Research and development expenses for the quarter increased to $572,000 compared to $460,000 for the same period a year ago. The increase was driven by a rise in the number of active internal initiatives undertaken to expedite product development. G&A expenses for the quarter increased to $1,481,000 compared to $1,298,000 for the same period a year ago. The increase reflected increases in rebranding and business development expenses of $176,000, legal and accounting expenses of $83,000, partially offset by a decrease in share-based compensation expenses of $79,000. Loss from operations for the quarter increased to $1,925,000 compared to $203,000 for the same period a year ago. Net loss for 2025 increased to $1,976,000 or $0.06 per share, compared to $203,000 or $0.01 per share for the same period a year ago. As we reported earlier, on August 1, 2025, the company closed its public offering of 6,052,000 shares of its common stock at a public offering price of $0.95 per share. The net proceeds to the company from the offering were approximately $4.9 million after deducting legal expenses, underwriting discounts, and commissions and other offering expenses. As of September 30, 2025, cash, cash equivalents, restricted cash and cash equivalents, and the carrying value of investment risk securities, including accrued interest, were approximately $10.4 million compared to $9.3 million as of December 31, 2024. On October 14, 2025, we received a third and final milestone payment of $500,000 from ProLiant upon meeting a certain productivity threshold, which was not included in the cash balance as of September 30, 2025. For the rest of 2025, we expect to see growth in product revenue in our life sciences, and food and nutrition markets as we launch products in cell culture media and molecular biology while maintaining our operating expenses in line with last year. With that, I will now ask the operator to begin our Q&A session. Each caller will be allowed one question and one follow-up question to provide all callers with an opportunity to participate. If time permits, the operator will allow additional questions from those who have already spoken. I will now ask the operator to begin our Q&A session. After which Joseph P. Hazelton, our COO, will provide closing remarks. Operator?
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star key. The first question comes from Matt Hewitt with Craig Hallum Capital. Please go ahead.
Matt Hewitt: Good afternoon, and thanks for taking the questions. Maybe first up, and I apologize if I missed this, but earlier this week you announced a new relationship that's gonna grant you access to CRISPR commercial licenses. I'm just curious. What does that bring to your portfolio? How is that going to help you drive incremental growth and sign some new contracts?
Joseph P. Hazelton: Hey, Matt. It's Joe. It's a great question. And the license that we signed with ERS Genomics earlier this week actually gives us a more powerful genetic toolbox to accelerate product development, improve optimization yields, both with our internal pipeline but also with our customers. Having access to the CRISPR technology actually helps our partners, for some of them that are in like food and nutrition, you know, CRISPR licensing can be somewhat problematic. So us having access to the technology to use in these development programs gives us a competitive advantage in some of these markets as well as the ability to expand and accelerate our internal programs. So we see this as a great opportunity to enhance the already strong genetic toolbox that we have.
Matt Hewitt: That's great. And then maybe a follow-up question. And picking one is tough, but let I'll just go with this one. The DNase I opportunity. It sounds like you're making progress there. How should we be thinking about that opportunity ramping in '26 and beyond, and how big could that ultimately become? Thank you.
Joseph P. Hazelton: Again, a great question. So the market itself for DNase I is roughly a $250 million market for recombinant products today. Overall, closer to a $1.5 billion market for DNase I for all methods of production and platforms. So as we look at, you know, what we're looking to, we're targeting distributors, suppliers, and manufacturers for bulk sale opportunities. So we're not gonna be manufacturing or selling to, like, individual institutions in small orders. The goal is and our focus right now is on securing OEM agreements or broader bulk opportunities. So we expect to see it scale rather rapidly. Obviously, we're getting lab-grade material up first. And as we start to expand the quality of the material, so moving up to, like, ISO and even GMP grade, those are very expensive to manufacture. So as we get the initial revenues in, we'll be able to target higher margin segments. So it'll be a slow growth at first. We anticipate it to be steady given the expansion of DNA and RNA products in the market itself. I mean, there's a ton of not just in mRNA still, but a ton of opportunity in cell and gene therapy. As well as other markets where we think we have a great opportunity and advantage given our cost structure in that segment.
Matt Hewitt: That's excellent. Thank you.
Operator: Next question, John Vandermosten with Zacks. Please go ahead.
John Vandermosten: Thank you. So I wanted to ask about the other relationship that you announced with Intralink in Asia. What characteristics of the customers do you think they will be for those products there? The DNase I and the transferrin. Will those be academic centers or labs? Or what do you think those customers will be?
Joseph P. Hazelton: John, this is Joe. It's a great question. So the reason we're targeting those markets specifically is that they're experiencing a significant growth in the uptake of these products with cell and gene therapy manufacturers, suppliers, and distributors. There's several new companies and several existing companies that are very large. We're targeting those organizations for purchase orders and bulk purchase orders, and then they would, in turn, supply the end users. We're not looking obviously to become a wholesale distribution network to every supplier or every academic institution, but we want to hit where they're pulling their product from.
Mark A. Emalfarb: And I think, John, one of the things you should keep in mind on all these programs is, you know, we're dealing with global markets. And as Joe points out, you know, Japan and Korea are expanding and they're not in turmoil like in the US. So our global presence is paying off. As you know, we are heavily involved in Europe. And now in Asia and Japan. Of course, in the United States. But India and other countries. So we're kind of like in a lot of ways, protected from what's been going on here in the United States to some degree. And because, you know, we really haven't had a global footprint. And we're expanding that global footprint.
Joseph P. Hazelton: From Box as well. And that's a great point because in addition, a lot of the companies are worried with regard to the tariff situation. So in Japan and Korea, they are looking to improve their manufacturing capability, you know, in the homeland. So obviously, us having the ability to transfer our technology in the world gives us an advantage. So I think, Mark, you're absolutely right.
Mark A. Emalfarb: Well, and they need a lower cost of goods to offset the tariffs to ship back in the US. So it's opening up doors that heretofore might have been closed.
John Vandermosten: Would the tariffs apply to your product? I mean, since it's the technology rather than a product itself crossing the border, would that be something that you'd have to worry about? Or would the customer have to worry about in Japan and Asia and other places outside the US?
Mark A. Emalfarb: Yeah. I think the tariffs would be on the products coming back in. Not in the technology going out.
John Vandermosten: Right. Right. Okay. Thank you for taking my question.
Operator: Next question, Robert Hoffman with Princeton Opportunity Management. Please proceed.
Robert Hoffman: Yeah. Thanks. I just want to dig in a little deeper on the CRISPR ERS agreement. So is that something you had to pay anything upfront? And I'm assuming it might be modest. And then how does it work going forward if you discover a system within their genomics? Are they gonna get a royalty on sales of that? Can you just kind of, I know you can't do specific numbers, but if you can kind of walk us through how a license agreement like that is structured, I'd appreciate it.
Mark A. Emalfarb: Well, first of all, to your point, I think Joe did a great job in negotiating the deal with ERS Genomics. Gotta remember, we're not cutting and clipping out things going into human bodies. We're improving fungal cell lines to make them more efficient, to make them cleaner, to knock out things that might be problematic, improve qualities. And so can't give them the finances to your point because it's confidential. But I can assure you it's nothing like you hear about the CRISPR being used in the pharmaceutical and medical industry. This is really more about engineering cells and making them home at a higher level faster, quicker, and cheaper than they already are. So and as somebody brought up, I think Matt brought the point up earlier, we're expanding the opportunity that our customers don't have to use CRISPR. Have different technologies. We have a site-specific integration, which can allow you to do things repeatedly from a genotype. From a regulatory perspective, in the life sciences and food nutrition, we can do random. In a lot of ways, it will give you the same result as CRISPR, but CRISPR is a little faster and a little more directed. But if you screen more mutants, you might get to the same point. So it gives us an advantage of time and specific ways to manipulate and modify these cells. So I think, you know, I wouldn't worry about the back end because the back end you more than make up for it. You get higher productivity, you can afford to pay a little bit of a payment to ERS Genomics. That's a great deal for them as well because it's opening the door to a whole new area that heretofore they couldn't get into.
Robert Hoffman: Got it. Yep. Sounds great. Thank you.
Operator: Next question, John Vandermosten with Zacks. Please go ahead.
John Vandermosten: Great. Thank you. My follow-up question is on the infant nutrition product. Is that something new that's being launched? Is the customer trying to differentiate it from an animal-based product or something? I want to see if you can help me understand how that product will be marketed to the end customer.
Joseph P. Hazelton: I think in infant nutrition and medical nutrition, what they're looking to do is basically mimic human breast milk. That's really one of the key focuses. The other is obviously they want to mimic bovine milk as well. I think you'll see the bovine products be accepted or recombinant non-animal bovine products would probably be accepted first because that's a shorter, I guess, a shorter leap for most consumers and most larger companies to take is, you know, they're currently using an infant formula today. They're using bovine source materials. So when it gets to things like infant nutrition, ultimately, you know, the goal would be to mimic human breast milk. That would be the ultimate goal. But I know having human alpha-lactalbumin, I think you'll see it in, like, medical nutrition sports nutrition products prior to, you know, seeing it in infant nutrition. But that is exactly what they're trying to do. There's only, you know, again, so much like, actually naturally dried human breast milk that can be produced in a given year. As well as, you know, bovine milk as well. Those are, you know, self-limiting or, I will say unsustainable, but they're very difficult to scale to significant levels in certain cases where you're talking about the purity and consistency you need for something like infant nutrition. So the recombinant proteins themselves give them greater assurance of the product quality and better control of the manufacturing process than you get with animal or even human-derived protein. So the goal is there. The roadmap is there. You know, getting past some of the regulatory hurdles and then consumer issues as well. That'll take some time, but we do see this as a great opportunity.
Mark A. Emalfarb: And, you know, just to add a little color to that, you know, just like ProLiant, you know, we've got partners that we're talking to and working with and have decades of experience in this industry. So it's not like we're tackling this on our own. We're aligning our interest with people that actually have the knowledge and the expertise to drive this forward to commercialization. If you think about omega-3, which is a, you know, kind of a similar thing, it's used in infant formula, for example. These are multibillion-dollar product opportunities. And DSM paid Martek over a billion dollars several years back. And it wasn't too long ago that we had this infant formula shortage. So, you know, that was a big deal. So this is a huge opportunity and we're addressing it not on our own, but in partnership with what we think are some of the smartest people to have the industry experience for decades.
John Vandermosten: Okay. Great. Thank you for the additional info.
Operator: Once again, if you would like to ask a question, please press 1 on your telephone keypad. Next question comes from Tony Bowers with Interact. Please go ahead.
Tony Bowers: Hi, Mark. Hi, Joe. I know the grant business is pretty much of a breakeven proposition initially. But it's great credibility, great visibility, and validation. What do you think the positive endgame could be from the Gates Foundation and CEPI?
Mark A. Emalfarb: Well, the positive endgame could be saving hundreds of thousands, if not millions of lives and getting rewarded for it financially. So, I mean, these people have the wherewithal, the Gates Foundation, to move this to the clinic. And it isn't just about that. This opens up the door for monoclonal antibody production and development of a faster, quicker, more efficient way lowering the cost of goods. If this administration wants to do anything, they want efficient, low-cost biologics because you got Lilly, you got Pfizer, you got Novo. You know, Trump calling them to the office, they're all caving in. But guess what? It's a drop in the bucket compared to what we can do with this platform to drive the cost of biologics down. So there's a huge opportunity at the end. But it's also providing technology and advancements for DAPIVIS.
Joseph P. Hazelton: Well, in addition, Tony, what it also gives us some potential avenues for cell culture media. So, you know, one side of the fence, while we have the capability to produce mAbs, producing things like transferrin and growth factors and when you look at, you know, those markets themselves, the growing interest in demand for therapeutic proteins means that there's gonna be growing demand for cell culture media of all types. So, you know, as we're looking to launch, you know, transferrin, you know, very quickly here into the culture media market, not just for cultured meat, obviously, but we're looking to launch into the CHO market, the HEK market, where you need these high-quality, high-purity proteins at a reasonable cost in order to be able to produce some of these more high-value targets like monoclonal antibodies. So it really, to me, it not only validates our platform for biopharmaceutical use, it's giving us potential opportunities for us to get our other products in there as well.
Tony Bowers: All three of the products that you're planning to manufacture under your own name, DNase I, transferrin, and growth factor, they're all essentially, they have been derisked in terms of production validation. And the CDMO market, there's plenty of choices. That's not a bottleneck for you commercializing these?
Joseph P. Hazelton: No. Not today, Tony. But it's a great question. Right now, there's plenty of capacity with CDMOs. Obviously, you know, from our standpoint, it's the cost of producing at some of these grades that we have to be considerate of. But, you know, today, we're finding, you know, that type of an issue. The other thing we're trying to do is identify opportunities in market, right? So whether it's Japan or Korea, whether it's in the EU or we're adopting or trying to bring CDMOs in all different parts of the world, obviously, to, you know, reduce our tariff implications. And to improve the economics of being able to distribute these products in bulk. So, you know, we haven't seen that to be an issue, you know, as of yet.
Tony Bowers: Last question, if I may. Can you comment on the burn and, yeah, how much ability you have to do what you need to?
Ping Wang Rawson: Yeah. So he just says Ping. We don't normally give the cash guidance as you know, but as we close out to the end of the year, as you can see, at the third quarter, I think we are still expecting the last quarter to have the recognize the half million cash, we received in October from ProLiant. So that will be reflected in the Q4 financials. And also from a business perspective, I think we are still expecting certain product revenue even though the amount may be not, you know, as disclosed at this point. So it's really hard to give you the cash burn at this point. But we do, like I said in the script, we do expect the operating expenses will be in line with last year. Hope that helps. Thank you.
Tony Bowers: Thank you.
Operator: Next question, Robert Hoffman with Princeton Opportunity Management. Please go ahead.
Robert Hoffman: Yeah. Just to pick up on that question. Moving forward, in terms of like just headcount and expenses, obviously, outsourcing a lot of things, especially the marketing and development, although maybe not the development. But do you see what do you see out two or three years? Are you going to have to expand dramatically? Or is it something that operating leverage is such that you know, you have to, you know, increase your cost structure by 50% while revenue goes up, you know, multiples of that. Can you give us just some sense of how the business model scales?
Joseph P. Hazelton: Yeah. Actually, it scales rather easily considering the model that we're focusing on is the distributors, wholesalers, and suppliers. So from an infrastructure standpoint, that's not gonna require significant amounts of build. So even as we scale, it's really about your manufacturing capacity and getting product to those customers. So that we can do obviously through our current outsourced model. So we don't anticipate, you know, significant infrastructure changes, you know, in the next two to three years. Now, obviously, you know, as we continue to move forward and if it makes sense to grow in certain areas, we want to take a look at that. But right now, the quickest path to acceleration is more product that we're able to actually, you know, produce and get onto the market. So that's really the main focus right now.
Robert Hoffman: Great. So you don't see G&A expense blowing up as your revenue expands. Obviously, it's gonna grow, but it's not going to keep pace with your revenue.
Joseph P. Hazelton: No. Agree.
Robert Hoffman: Great. Thank you.
Operator: There are no further questions. I will now turn the call over to Dyadic International, Inc.'s President and COO, Joseph P. Hazelton.
Joseph P. Hazelton: Thank you, everyone. Putting today's call in perspective, we're very encouraged by the progress we're making. While, of course, we want to see larger gains come faster, the indicators for growth are clear. Our pipeline is advancing, customer engagement is increasing, and the foundation for sustained commercial expansion is firmly in place. Q3 2025 marked a defining step in Dyadic International, Inc.'s commercial evolution. With our first bulk order, additional purchase orders underway, and multiple product launches approaching, we're now executing as a product-driven biotechnology company. With the integration of the CRISPR technology, the commercial expansion through Intralink, and a strong balance sheet of $10.4 million in cash and investments, Dyadic Applied Biosolutions is well-positioned to deliver sustainable revenue growth and long-term value creation. In parallel, our legacy biopharmaceutical programs and collaborations continue to advance, providing validation for our technology and the potential for longer-term revenue streams as those programs mature. At the same time, our near-term focus remains on executing the commercial strategy already taking shape across our core markets. Our near-term priorities are clear. First, to accelerate product sales across our life sciences and molecular biology reagent portfolio, where early commercial traction is already underway. Second, to expand customer engagement in key global markets, including Asia, Europe, and North America, through targeted partnerships and business development initiatives. And third, to advance commercialization in our food nutrition and bioindustrial segments, where our technology is enabling new sustainable solutions and creating meaningful opportunities for recurring revenue growth. Dyadic International, Inc. is now executing as a commercial organization built on validated platforms, established partnerships, and a clear path toward recurring revenue and profitability. Thank you for your continued support, and we look forward to updating you on our progress.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.